Operator: Welcome to Nordic Semiconductor's Q4 2025 Presentation. [Operator Instructions] This call is being recorded. I will now hand it over to Stale. Please begin.
Stale Ytterdal: Thank you, Kjell, and good morning, everyone. Please note that this presentation is being recorded and will be accessible on the Nordic website in the Investor Relations section. Additionally, for those of you who missed the release, you can find the earnings press release, quarterly report, and presentation material also on our IR website. With me today, we have the CEO, Vegard Wollan; and our CFO, Pal Elstad. They will share details about our recent financial performance and updates on key business developments. Following the presentation, we will move on to Q&A segment. [Operator Instructions]. As a reminder, this presentation includes forward-looking statements that come with inherent risks and uncertainties. Actual outcome may differ materially from those statements expressed and implied. We highly recommend reviewing our detailed Q 4 quarterly report and the 2024 annual report for a deeper understanding of the risks and uncertainties that could impact our business operations. With that, I will now hand the microphone over to our CEO, Vegard Wollan.
Vegard Wollan: Thank you, Stale, and good morning, everyone. Today, I'm going to quickly go through the main points of the quarter, then leaving the word for Pal to take you through the financials before I'm returning with my review of 2025 and how we see ourselves progressing towards our long-term goals and ambitions. So let's start with the headline figures of the fourth quarter. Revenue amounted to $170 million in the fourth quarter, an increase of 13% year-on-year. As expected, revenue declined somewhat from our third to the fourth quarter, and the revenue ended in a higher end of our guiding range. The year-over-year growth was on par with what we saw in the third quarter and reflects that our strong competitive position enable us to benefit from the market improvement throughout 2025. We see growth both in short range and in long range, and among both large key customers and in the broad market. In terms of end-user markets, we saw continued growth in the Industrial and Healthcare segment, with more modest year-on-year growth in the Consumer segment. This is roughly the same picture as we saw in the third quarter. Gross margin was 55% in the quarter, but as Pal will get back to with more details, this included some reversal of an inventory write-down we took last year. If we exclude that, we still see healthy gross margin levels of 52%, a clear improvement from Q4 2024 and on par with the previous quarter. The product and customer mix is improving and cloud services revenues after the acquisition of Memfault also contributes positively. Reported EBITDA was $15 million, and adjusted EBITDA, $13 million. This excludes the positive effect of the reversed write-down, partly offset by the quarterly noncash cost effect related to the Memfault acquisition. The top 10 customer share of our revenue has stabilized at 57%, meaning that revenue has grown equally strong among our key customers and in the broad market over the past year. Revenue in 2025 exceeds the 2022 peak level for our top 10 customers, showing our strong relationships and developments with these customers. We will see many more exciting products coming out from these collaborations in the quarters and years to come. As we have said repeatedly over the past year, it has been a key priority for us to regain momentum also in the broad market. And the revenue in this customer segment is still around 1/3 below peak levels, though we see gradually improving revenue also here. We remain the clear design win leader when we look at the Bluetooth Low Energy end product certifications, with 32% of the design certifications in both Q4 and for the full year 2025. This is about 3, 4x as many designs as our closest competitor. And please note that this is counting of certifications that does not differ between high and lower volume products. So you cannot translate this directly to revenue. The NRF 54 is now beginning to have a meaningful impact and accounted for about 15% of certifications in Q4. This will continue to increase going forward. Turning to our products. I would like to highlight some recent product news. The first is the nRF54LV10A, which we have specifically designed for next-generation healthcare wearables such as biosensors and glucose monitors. These products are typically powered by silver oxide coin cell batteries, using lower voltages, and ultra-low power is crucial. Compared to the previous 52 series generation, we achieved between a 30% to 50% lower power consumption while increasing the performance substantially, and this new product positions us perfectly for these high-volume markets. At the CES in Las Vegas in January, we also introduced another great addition to the nRF54 series. Many applications require local data processing to save bandwidth cost and energy consumption. Other requirements for local processing are applications where you need low latency and on-site response in milliseconds without a round-trip to the cloud or other devices. Our new nRF54LM20B chip goes a long way in meeting those demands. This is the first SoC integrating our Axon neural processing unit, a very fast and energy-efficient hardware AI accelerator. The Axon NPU is built on technology we acquired with the acquisition of Atlazo a couple of years back, and it offers 7x faster performance and 8x better energy efficiency compared to our -- compared to today's competing technologies. Following the acquisition of Neuton.AI last year, we offer a complete ultralow power Edge AI solution, which, in addition to the 54LM20B chip, includes pre-optimized Neuton models, which are 10x smaller, faster, and more efficient than competing solutions, and the Nordic Edge AI lab, which simplifies development of custom Neuton models based on customer data. The Neuton models and the Nordic Edge AI lab are ideal for all Nordic SoCs, also including our long-range modules and products. Altogether, this offering dramatically lowered the barrier to bringing AI to battery-powered IoT devices at the edge. We are uniquely positioned to serve the next wave of AI-powered IoT growth across wearables, healthcare devices, and smart sensors. Within the long-range area, we have seen positive development last year. And besides the stronger commercial development in the cellular operation, one of the most exciting things that has been the qualification of our technology on satellite networks, positioning us as a leading technology and solutions provider within satellite-enabled IoT connectivity. In the fourth quarter, our nRF9151 module was certified for Skylo's satellite network, and we have now established connectivity across multiple leading satellite operators such as Iridium, Myriota, Sateliot, and OQ Technology, in addition to Skylo. Many customers just want a single solution that just works everywhere, also beyond cellular network coverage, and with seamless coverage across both satellite and cellular networks. We can offer true global IoT connectivity on land, on sea, all around the globe. We're looking forward to the next chapter in our long-range business unit with the launch of the nRF92 approaching this year. With that, I'll hand over to Por to take you through the financials before I will return with a wrap-up of our developments through '25 and into 2026.
Pål Elstad: Thank you, Veg. So as Vegard mentioned, revenue amounted to $170 million in the fourth quarter of 2025, a 13% increase from the same quarter in 2024. Full-year revenue was a strong 31% increase to $668 million. The revenue growth reflects Nordic has retained a strong competitive position in the recovering short-range market, built a gradually stronger position in both cellular and satellite within long-range, and added cloud services revenue with the strategic acquisition of Memfault. The short-range business remains the main revenue driver in absolute terms, growing by 13% to $158 million or 93% of revenue. Compared to last quarter, revenue is down 5%. The revenue level demonstrates the persistent competitive strength of Nordic's product portfolio in the NRF 52 and 53 series of Bluetooth Low Energy products. Revenue contribution from the new and groundbreaking nRF54 series products was limited in 2025 and will start to contribute meaningfully to revenue from 2026 onwards. Long-range revenue amounted to $8.7 million in Q4, representing an increase of 25% compared to the fourth quarter of 2024 and a decline of 11% compared to the previous quarter. The year-on-year increase reflects higher demand on the back end -- back of the 151 launch late 2024 with sales to a broader set of industrial verticals. The growth also reflects increasing cloud services revenue after the acquisition of Memfault, which has performed in line with expectations out plan in connection with the acquisition. The other category includes early-stage businesses in PMIC and Wi-Fi, ASIC components, and development tool sales. While the technology development in Wi-Fi and PMIC is progressing as planned, these business units are still in an early commercial phase and therefore, included in other. Turning to the end-user markets. We see that industrial and healthcare is driving growth in the quarter. Industrial and Healthcare is now 37% of the total and increased 20% compared to the same period last year, and more or less flat compared to last quarter. Part of this is because of strong growth we're seeing in long-range, including services, which for the most part goes to industrial customers. However, we have previously said that revenue in industrial and health care still is dependent on a relatively small number of customers, and revenue reflects high sales to individual key customers also in this quarter. Consumer revenue was flat year-on-year with tough comparable from high Q4 last year when we saw especially strong performance in PC accessories. Turning to gross profit or gross margin. Gross profit was $93 million in Q4, up from $73.8 million in Q4 2024. The reported gross margin increased to 54.9% from 49.1% last year. As Vegard mentioned, reported gross margin included a partial reversal of a write-down of cellular products made in Q2 2024, which had a positive effect of $5 million in the quarter. We have been able to sell more of the old material than originally expected. Adjusted for reversals of the write-down, the gross margin was 52%, reflecting a 2.9 percentage points improvement over the fourth quarter 2024, or marginally up compared to last quarter. This improvement was primarily driven by changes in customer and product mix, higher sales in the broad market, and a positive contribution from cloud services. We maintain our long-term ambition to keep gross margins above 50%. Yes. Looking at our operating model, the revenue increase of 13% translated into a 20% increase in adjusted gross profit. However, our R&D efforts are also increasing with the ongoing product renewal process and increased activity to deliver on our long-term growth ambitions. Overall, R&D costs increased by 24% to $50 million in the quarter, with the strongest increase in short range due to very high development activity with new nRF54 products. Long-range R&D also increased significantly ahead of the upcoming launch of new products there. We have spent close to 30% of revenue on R&D. And as we talked about last time, the SG&A has also increased in connection with the ongoing product releases and more activity. Summing up, the adjusted EBITDA increased slightly in absolute terms, but declined slightly as a percentage of revenue. For the full year 2025, the adjusted EBITDA increased from $8 million last year to $67 million this year, with adjusted EBITDA margin increasing from 2% to 10%. As earlier communicated, our operating model is set up with a long-term ambition to move towards an EBITDA margin of 25%, which will require both continued revenue growth and a decline in long-term R&D costs to 15% to 20% of revenue, and also a similar reduction in SG&A. Turning to cash costs. So total cash operating expenses were $80 million in Q4 '25 compared to $70 million in Q4 2024 and compared to $75 million last quarter. As we talked about last quarter, we are doing a lot of efforts with the new products, which drives costs up. This increase in cash operating expenses mainly reflect payroll expenses, which increased to $53.6 million from $46 million in Q4 '24. Of the increase, approximately $2 million relates to net salary adjustments, higher salary, and about around $4 million relates to the Memfault and Neuton.AI acquisition. The remaining increase is driven by higher bonus accruals and FX. Nordic is exposed to currency fluctuations, mainly USD, euro, compared to the U.S. dollars. Compared to previous year, changes in these exchange rates increased quarterly operating expenses by approximately $3.7 million. The payroll increase from last quarter is mainly explained by Q3 lower due to vacations. The total number of Nordic employees at the end of Q4 was 1,431, including 59 employees that joined the acquisitions of Neuton and Memfault in Q3. This corresponds to an organic increase of 1% and a total increase of 5% compared to the end of 2024. There is increase in other OpEx is driven by high activity in Q4, including several tape-outs for new products. There are some moving parts here, but overall, we expect a similar cash cost level in Q1. CapEx this quarter was $5 million, up from $3.5 million last year, but down from $6.6 million last quarter. CapEx on this slide is purchase of equipment and software and does not include capitalized R&D. CapEx investments are irregular, and this quarter should be viewed in the context of the broader trend over recent quarters. CapEx intensity last 12 months at 3.4% of revenue. Current CapEx is mainly supply chain capacity, supporting ongoing new product introductions. Turning to cash flow. You can see that we had a neutral cash flow during Q4. This was mainly achieved by an EBITDA adjusted for capitalization of $9.1 million, offset by higher working capital. The main increase in net working capital this quarter comes from higher receivables and inventories, offset by higher accounts payable. Inventories increased by $12 million to $155 million and was driven by our strategic build of inventories. Net working capital at the low 22%. Finally, before handing the word back to Vegard, we can have a look at our near-term outlook, where we are looking for solid revenue between $175 million to $195 million in the first quarter of 2026. We reported an adjusted gross margin of 52% in Q4 and expect the gross margin to remain above 50% also in the first quarter. With that, I'll hand the floor over to Vegard for some closing remarks. Thank you.
Vegard Wollan: Thank you, Pal. Let me round off with a few concluding remarks on our development through 2025. I think 2025 was a good year for Nordic, and we demonstrated solid progress operationally, strategically, and financially. First, operationally, on our Capital Markets Day back in 2024, we highlighted that our portfolio renewal program and launches of innovative new products would be crucial to drive our future growth. On that note, I'm very happy to see that we are progressing very well with the new products and launches we are making. First, in short range, we have now announced 7 SoCs in the market-leading nRF54 Series product family since we launched the first chip about 15 months ago. These 7 unique SoCs meet a wide range of different customer requirements and applications. We have launched high-performance SoCs with multi-core MCUs, rich on memory and features, and entry-level SoCs for more cost-constrained applications. And finally, fit-for-purpose products such as the low-voltage SoC I talked about earlier today for the health care market. This is actually slightly ahead of what we committed to, and we'll continue to roll out new products this year. In long range, we have broadened our addressable market and gained traction in key verticals by introducing the nRF9151 in the second half of 2024. And as I mentioned earlier today, we see strong momentum after we launched the leading technology, enabling true global coverage with satellite networks. We are also approaching the launch of the new nRF92 SoC on the 22-nanometer technology platform with higher performance, more integration, lower power consumption, lower cost, which is another great milestone coming up. PMIC and Wi-Fi are still small revenue-wise, but are also making good progress. We added 2 new PMICs in 2025 and expect to launch more in 2026. The design win pipeline is growing very well. In Wi-Fi, our offering has centered around the nRF70 series, which is positioned as a Wi-Fi companion chip to our other SoCs. The next-generation nRF71 will build on the same integrated architecture as the nRF54 series on the 22-nanometer platform and will be the first Nordic Wi-Fi SoC built in-house, both hardware and software. nRF71 is expected to significantly expand our addressable market, and we expect to launch this towards the end of the year. Strategically, we are transitioning from a hardware company to a complete solutions provider with chips -- from chips all the way to the cloud and aftermarket services. This enables our customers to focus on what they are best at, to design end-user products, application-specific software, apps, and the end-user interface. On the left side, you see the hardware pillar where our world-leading energy-efficient hardware SoCs. In the middle pillar, you see the software layer, which is becoming increasingly important as the complexity of our customer products increases. We have market-leading connectivity software stacks, our nRF Connect SDK software platform, and the new AI functionality, which I just covered. And finally, the services pillar, building on our Memfault acquisition last year, we now provide full device life cycle management capabilities. Our customers increasingly need technology that enables them to securely monitor, maintain, and update millions of their devices in the field throughout their lifetimes. This is not longer just a nice-to-have. New regulatory frameworks such as the EU Cyber Resilience Act and the U.S. Cyber Trust Mark require secure-by-design products, continuous vulnerability management, and reliable over-the-air updates. These mandates begin to take effect from 2027 and fundamentally change what our customers must comply to. Nordic has had an early start with our NRF cloud offering, and the integration of Memfault's cloud life cycle management solution significantly strengthens this position across all our connectivity technologies. Together, we provide a complete low-power optimized path for observability, diagnostics, and secure over-the-air firmware updates at scale. This combination of hardware, software and services puts Nordic in a unique position to deliver solutions to our customers' technical requirements and their regulatory obligations. This forms a truly differentiated end-to-end solution in the market. At last, we have financially progressed. I called my intro at the CMD in 2024, driving growth and restoring profitability. I believe the numbers for 2025 overall show that we are moving in the right direction, also financially. Revenue increased by 31% to $668 million in 2025, which was stronger than we anticipated going into the year. Full year 2025 gross profit amounted to $346 million, an increase of 43% from $242 million in 2024. Reported EBITDA increased from negative $5 million in 2024 to a positive $66 million or 10% margin in 2025. While we still have a way to go, I would say we are overall on track towards the long-term financial ambitions we have outlined, which are to grow revenue by more than 20% on average from 2024 through 2030 and to move towards the 25% EBITDA margin. With that, I think it's time to open for questions. So over to you, Stale.
Stale Ytterdal: Thank you, Vegard. [Operator Instructions]. With that, I will now hand it over to our operator, Kjell, to begin the Q&A session.
Operator: [Operator Instructions] The first question is from the line of Christoffer Bjønsson from DNB.
Christoffer Bjørnsen: Congrats on the great quarter and the strong guide. I think just one thing we wanted to understand a bit better is you're now guiding Q1 growth around 20% on midpoint versus the quarter last year, you called out particularly strong orders that seemed a bit out of the ordinary for some key customers and also compared to the typical seasonality, you're kind of up 9% on the midpoint in Q1 on the guidance versus typically it's supposed to be down around high single digits. So anything you could say to help us understand like how much of that is just getting back to normal and market recovery and stuff like that versus if there could be any pull forward of people trying to get ahead of a potential shortage of components or any other abnormal things that we should keep in mind for our estimates for the rest of the year shape for the rest of the year?
Vegard Wollan: Yes. Thanks, Christoffer. Good question. Yes, I think as I said, when we saw the revenue increase by 31% in '25, that's stronger than we had expected. So the market recovery from lower levels in '24 continued throughout 2025, and the strengthening continued towards the end of last year and into this year, which is reflected in our guidance. And through lots of dialogue and engagement with many customers, I think we have seen that quite some customers are now indicating they were selling more than they had forecasted in Q4. So that's clearly a positive. I think it's also clear that some customers are now, to some degree, a bit worried about shortages in certain areas, as you commented on, Christoffer, such as memory and potentially other components, which -- and this concern is related to potentially the spreading over to other components. So I don't think we can rule out that there could be an element of restocking of inventories happening. But also it's clear that our customers have had increased sales of their products in Q4 compared to their original forecasting.
Christoffer Bjørnsen: Just a quick follow-up on the numbers. On the OpEx side, can you just help us a bit understand your plans for '26? For '25, you had pretty cautious plans to try to keep it flattish on kind of a like-for-like basis. But now with this momentum, should we expect like a material step-up? Or is '25 going to be like a year where we see operating leverage and OpEx will grow double-digit?
Vegard Wollan: Yes. So as I mentioned, we are investing heavily, and we are growing the product line and business. But we did a quite big step-up in the second half of the year. So I'm foreseeing that going into 2026. So as I said, Q1, pretty close to what we see in Q4. But a little bit caution on the U.S. dollar, which is weakening, which will have -- will probably be offsetting this slightly. So I would say, more or less the same levels as in Q4 going into Q1.
Operator: The next question is from the line of Harry Blaiklock from UBS.
Harry Blaiklock: Maybe just following up on that Christoffer's question on Q1. Wondering whether you can call out kind of any particular areas of strength, whether across kind of Tier 1 versus broad market, consumer versus industrial healthcare, or any particular regions? Anything you can give there would be super helpful.
Vegard Wollan: I think overall, we see some strengthening continuing gradually in all our segments at the moment, both geographically, our market segments, as well as our technologies. So it is across the broad board as expected. And while still not contributing materially, we are also very confident and optimistic, positive on all of our new product launches, which is truly what we are focusing at, at the moment. And it's very energizing to see the products and the wins we have on new products at the moment.
Harry Blaiklock: Great. And then for my follow-up, over the last few days, you would have seen the news about one of your U.S. peers being acquired. Wondering whether you could just give a quick assessment of how that impacts the IoT connectivity segment and the competitive environment, how you're thinking about that?
Vegard Wollan: Yes. Thank you. I think it's generally just to comment first, it's a very interesting proof point and recognition as such a large player as TI values the wireless connectivity IoT market and recognizes that it's an important and growing market in the semiconductor space. I also want to add, we have respected Silicon Labs as a good competitor. Having said that, we are very confident in our competitive position at the moment, probably more so than ever. And with all the new and great products we are releasing nowadays, these products are competing very effectively in the growing IoT market. Clearly, we are -- and I'm especially thinking of the leadership position we are taking on our 22-nanometer SoCs, and it's a great execution happening in the Nordic engineering teams when we now launch this unique, innovative, very, very leading products at the moment.
Operator: The next question is from the line of Craig McDowell from JPMorgan.
Craig Mcdowell: My first question was just in the context of higher DRAM pricing. Just what you're seeing in terms of customer conversations in terms of launching nRF54 series. Is there any risk that actually customers aren't accepting a new sort of potentially higher-priced connectivity chip in the context of sort of seeing higher DRAM pricing? Any risk of destocking there? That would be my first question.
Pål Elstad: It's really hard to -- what the customers see in relation to the 54, I guess, the higher price on the 54. Lower pricing.
Vegard Wollan: Yes. I think we haven't shared so much on any details of that, which we will continue to do, obviously, also for competitive reasons. And our market and value pricing, clearly, we are focusing on value pricing in Nordic as we have a leading value proposition, which we offer to our customers, particularly with the combination of software, services, and everything we deliver on the technology platform. If you think specifically of the 54 series, I think it's also clear that we are expanding our addressable market and our reach by the portfolio and the broader family we are bringing to market. So from the high-end products in the 54 series, which is, of course, quite a lot higher performance than previous products in the 52, 53 family. But also we are expanding in entry-level products. And the ASPs we are seeing in that picture are varying quite a lot, I think, is generally what we see. I think good news, which we see is that lots of customers require more compute power at the edge. They require more software, more functionality, and are very often upgrading also to a more powerful Nordic SoC when they either update or develop new products.
Craig Mcdowell: Just my follow-up. You referred to sort of risk of supply tightness or constraints. Can you just remind us of the sort of terms with your fab partners for your own supply?
Vegard Wollan: Yes. Of course. Our major foundry partners are TSMC and GlobalFoundries, working extremely closely and well with both of them, and in close partnerships, strong partnerships, and we are getting excellent support from them. Clearly, as we are also ramping up manufacturing, as you can see, there is a bit of tightening in certain elements of the supply chain happening at the moment. We are not constrained on that, but we are working, monitoring, and assessing that situation very closely. But overall, we have very strong support and are able to increase our manufacturing at the moment, as we are currently doing.
Operator: The next question is from Om Bakhda from Jefferies.
Om Bakhda: You mentioned that AI bolt-on that you sort of at the end of H1 last year is sort of key to being a compute solutions provider. And through the quarter, we've seen headlines around possible Apple wearable and maybe some more traction in this AI space. And so through the quarter, have you seen renewed interest and engagement on the wearable piece or any projects that you're sort of working on that could be announced later in the year?
Vegard Wollan: Yes. I think, unfortunately, we only heard the last half of your question, but I think it was related to our traction within Edge AI, which is obviously an area we are focusing a lot at. And I would say we are clearly seeing very solid positive increased traction, both on our hardware side as well as our solutions side. The LM20 family, actually both the A and the B has very solid traction at the moment, so without and with hardware acceleration as people also need to utilize these NPU capabilities to speed up their computing at the edge for the reasons I mentioned, either bandwidth reasons, energy consumptions, latency times or just a requirement for local decision-making at the edge node device. So we are clearly seeing very positive traction on the hardware side. And similarly, I would say on the Nordic AI labs with the pre. And maybe just to add to that, when we launch these things, it's also generally such that then you have the broad market applicability. So we see a multitude of customers using them. Typically, with us, that means that we have had some key customers also using them for a quarter or a couple of quarters prior to that.
Om Bakhda: And then just on your revenues [Technical Difficulty].
Vegard Wollan: Okay. I think the question was on the Memfault revenue. We don't comment on the revenue. But back when we did the acquisition, we said that Memfault had an ARR of around $7 million, and we're expecting a 50% growth in 2025. And then as I said, the development has been as planned since the closing. So we're very happy with that team and that acquisition.
Operator: The next question is from the line of Martin Jungfleisch from BNP Paribas.
Martin Jungfleisch: 2 small follow-ups, please. The first one is really on the Q1 guidance. I mean, it implies around 9% growth at the midpoint. Can you just disclose if there's any larger positive mix or price impact already in from the nRF54, and if that increasing share in the mix could be an acceleration of revenue growth over the next couple of quarters?
Vegard Wollan: Yes. It's a great question, and we understand the interest there, but we are not breaking out the revenue for the nRF54 series. What we have said is that we have now broadened out our product offering in that space. We have had a certain time of design wins of the design win activity with the earliest launched products, while momentum is growing and increasing for the more recently launched products. And we also see in the Bluetooth SIG certifications, it's starting to become slightly meaningful as a contribution, which means that we are clearly delivering to what we have said we were in '26. This is going to gradually start to become more meaningful as a revenue contributor for Nordic.
Martin Jungfleisch: Okay. And as a follow-up, it's also on the foundry side of things. There's some reports that TSMC is raising prices in some mature nodes, and they may even shut down some certain older nodes. I mean just how are you affected here? Is that something that you're seeing that TSMC or raising prices? And if so, I mean, could you potentially pull more volumes towards GlobalFoundries, TSMC is raising prices or even shutting down more than not?
Vegard Wollan: Yes. Thank you. I think we appreciate the interest in that area, and we see media coverage and even some speculations on some of these data points. I think the only thing we can say there is that we are working extremely closely with our supply chain and foundry partners, obviously, and within that, obviously, with TSMC as well, such that we are confident in having support in the coming time for our customers and manufacturing. And of course, there is also a bit of flexibility between the picture, as we are now having multiple sources and multiple technologies, 55 nano and 22 nano, et cetera. So that is also a picture we are working and monitoring, and planning for on a multiyear basis.
Operator: The next question is from Sébastien Sztabowicz from Kepler Cheuvreux.
Sébastien Sztabowicz: Coming back to the broad market, which remains 35% or 30% below the peak. Have you made any kind of progress to reaccelerate the expansion on the broad market? Is there any specific progress there? And specifically in China, how the situation is evolving there? Do you see a bit of more market traction there? And where is competition happening in China? First question.
Vegard Wollan: Yes. Thanks, Sébastien. Great question. I think to cover it quickly, and take the last one first. I think in China, we see that market growing similarly as other markets for Nordic at the moment. So it's growing, but it's growing at the pace we are growing. So same percentage of our growth is coming from China, plus or minus. That's the approximate situation. Broad market, lots of activity, lots of action we are taking in that space at the moment, and have done that now for quite some time. We are seeing the results. A lot of that is also related to new product launches, which I talked about because new products create energy, create momentum, and create activity. And fortunately, I can confirm that we are seeing that amongst our distribution partners, which is great, though things take a little time for designing in industrialization, qualification, certifications, et cetera, before customers launch their product. So it's part of what we expect to see growing also throughout this year.
Sébastien Sztabowicz: And coming back to the story of the question around the inventory replenishment, where do you see the inventories at your main distributor partner today? Have you seen any kind of rebuilding at the distributor level? Or it is more at the end customer that is happening right now?
Vegard Wollan: Yes. I think our distributor inventory levels at the end of last year, we are probably somewhat on the lean side. And for Nordic, we continuously aim to keep inventory at healthy, balanced levels to be supporting our customers and their needs at all times with more SKUs and more products coming up at the moment as well. But yes, that's probably.
Pål Elstad: And on end customers, we see that most larger customers have been in a balanced situation for quite some time, and you can read that on reports. Some of them even have low inventories. And then we also saw in Q4 that broad market customers are at normalized levels, and then we see that in the replenishment levels, et cetera, they have. So healthy inventory levels.
Operator: Time is running fast here. And in the interest of time, I will hand it back to Stale for any further announcements.
Stale Ytterdal: Thank you, Kjell. We will conclude today's session. I have one announcement. Nordic will conduct 2 post Q4 2025 result Q&A group calls with analysts and investors. The first call will be for the U.S. investors and will be hosted by Bank of America and is scheduled today, Thursday, at 5:00 p.m. The second group call for European investors will take place tomorrow, Friday, and will be hosted by ODDO. This call will be attended by CEO, Vegard, and CFO, Pal, and will be moderated by the covering analysts at each brokerage. For details on how to register, please visit the IR calendar on our website. With that, I will now close today's Q&A session and hand over to Vegard for final remarks.
Vegard Wollan: Thank you, everyone. Thanks for joining us, and this concludes today's call. Thank you.
Pål Elstad: Thank you.